Javier Crespo: Good morning to everyone, and thank you very much for joining us today in attending 2024 Financial Results Presentation for the ACS Group. I'm here with Ángel García Altozano, who's our Corporate General Manager; and Mr. Emilio Grande, who's the CFO for the Group. And as usual, following the presentation, there'll be time for a Q&A session, so that we can clarify any points you'd like to raise. And if you're following us through streaming on the website, you can also send in your questions through the usual channel. Let me start off with the first slide on the screen this morning. ACS had what we think was an excellent year 2024 with regard to the operational evolution of our businesses and cash generation. It was very satisfactory with regard to the relevant corporate transactions for the Group's strategy. Ordinary net profit totaled €684 million. That's up 14% comfortably outstripping the target, which was envisaged at between 8% and 12%. Now these are the ordinary figures. They do not include non-recurring items, which are essentially the capital gain for the sale of 57% of the SH-288 in 2023 and the impact of the book capital gain in CIMIC and the termination of the SH-288. These are both net of provisions and non-recurring results in 2024. Net profit totaled €828 million and earnings per share was €3.23 per share. That's equivalent to an increase of 7.8% in like-for-like terms, the before tax profit increased by 23.6%. That was driven by Turner's growth because Turner saw growth in top profit by 37%. So this year, we have recorded exceptional net operating cash flow generation that was €2.1 billion that's €1.1 billion more than in 2023, thanks to the excellent operations and strong growth in our bit as well as solid cash conversion. Consequently, our net debt position at close of the financial year 2024 was just over €700 million. Even after the accounting impact of the consolidation of Thiess €1 billion debt and after remunerating our shareholders with a payout of €862 million, we've also made strategic investment and net investment for a total of €1.15 billion. Our order backlog has reached a record figure €8.2 billion and that's an increase of €14.7 billion or 20%. That's equivalent to almost 25 months of sales, thanks to the projects awarded to us for a value of €51.5 billion in the financial year. So today our leadership in high growth markets is reflected more and more in a Nordic bloc that is focused on those sectors that 50% of the awards come from those sectors. This presence this footprint and our know-how in the sector of engineering is giving us these major opportunities for capital investment. So because of all those reasons, we're optimistic about the future of the Group and we're going to increase our ordinary net profit growth target for 2025 to a range of between 8% and 15%. So let's take a look at the Group's consolidated results. Sales grew strongly by 16.5% to a total of €41.6 billion, driven by strong production in strategic markets, particularly digital infrastructure, biopharma and health, which were up 21% in year-on-year terms. EBITDA totaling €2.45 billion was up 28.7% and impacted by the full consolidation of these since the second half -- second quarter rather of the year and the termination of the SH-288. EBITDA, ordinary EBITDA like-for-like terms with total €2.642 billion. The ordinary comparable profit before tax adjusted because of non-recurring impacts also has showed solid growth 23.6% to above €1.2 billion and 31 basis points improvement in the margin to 2.9%. Net attributable profit €828 million, thanks to the solid operation performance and earnings per share for the period €3.23 up to 7.8%. So adjusting the figures for the extraordinary impacts in both periods, our ordinary net profit figure grew by 14% higher than that target range for growth of 8% to 12%. Our sales for a value of more than €41.6 billion are concentrated in North America, which accounted for 61% of those sales, followed by Asia-Pacific with 24% and Europe with 14%. The next slide shows our ordinary net profit that's the attributable profit by segments. All of the figures show positive evolution, Turner €327 million and a year-on-year growth figure of 45.8%. Now that is the segment that has recorded the highest growth in the Group. Today, Turner is contributing 48% of the Group's results. Engineering & Construction earned €156 million that's up 6.6%. Abertis had an excellent operational performance last year with higher revenue 9.8% and higher EBITDA 10.3%. Its contribution to the attributable net profit figure grew by 3.6%, even with the impact of the fiscal regulation for concessions in France. Cash generation was excellent in 2024. Net operating cash flow totaled €2.1 billion that is €1.1 billion more almost than in 2023. So with that result, we have more than comfortably exceeded that annual average range, which was the target that we communicated to you during the Capital Markets Day in April 2024 for the years 2024 to 2026, that figure was approximately €1.2 billion. So this figure is due to our robust operational performance and cash conversion in all of our businesses. This is Slide 6 and you can see our financial position. In the Group at the close of financial year 2024, with barely €700 million in net debt, we've improved the figure from September by approximately €1.7 billion, compared to the figure at the close of 2023, we can see an increase in net debt of €1.1 billion even after incorporating the book effect to the consolidation of the net debt in Thiess and remunerating our shareholders €862 million was the figure. Net strategic investment totaled €1.14 billion included the capital contribution in Abertis, the acquisition of 10% of Thiess and the acquisition of the additional stake in HOCHTIEF and other complementary strategic acquisitions and capital investment. In conclusion, this is a solid financial position to be able to address the investment opportunities that may come up for the Group. Slide 7 now, our order backlog totaled -- totals €88.2 billion that's of 19.9% strategic expansion in new generation infrastructure is still a key component of our growth strategy and in 2024, represented approximately 50% of all our new contract awards. The book-to-bill ratio, which is an advanced indicator of that growth, stands at 1.2x while the visibility of our backlog is still more than two years. In this next slide, you can see a selection of significant contracts awarded to us recently. I would highlight to you the energy sector where we have been chosen design and build the second phase of the 270 megawatt battery storage system Western Downs project in Queensland for NEOM, which is one of the top world producers of solar renewable energy data centers. Now, Turner has been selected as the key contractor for Meta's data center campus in Louisiana, which will be the biggest one the company has to-date. Now this project includes several data center buildings that are optimized for artificial intelligence with a total capacity of more than 2 gigawatts. It's important to highlight to you that this project is still not included in the figures for our backlog or in the figures for the contract awards for the period. Turning to the semiconductors sector. We have been awarded a number of contracts including the expansion of assembly and testing facility for chip lithography machines in the United States and the installation of a construction, which is for semiconductors in Germany using clean tank technology. I can't give you more details at the moment because it's still confidential. In biopharma and health and social infrastructure, we've been selected for the expansion of the North District Hospital in Hong Kong and also for the modernization expansion of the West Terminal 3 in the San Francisco's airport. Turning to sustainable mobility and climate resilient infrastructure. We have been awarded part of the water canal project in the Hoboken Terminal, New Jersey. In traditional infrastructure, although this project isn't included in those backlog figures either, I still think it's worth mentioning the project. It's the SR 400 Express Lane in Atlanta, Georgia, with a construction value of more than $4.6 billion. Lastly, let me underscore another project to the Stobie mine in Canada, which is for critical minerals such as nickel, copper, in response to the world demand growing for these as essential resources. Let's turn to the next slide. This is the evolution by segments Turner first of all. Turner has recorded very strong growth in before tax profit 37% up to €570 million, thanks to annual growth of 19% and which has also accelerated in the fourth quarter and continued significant margin expansion. So before tax margin was 30% -- 3%, sorry, 3% in line with the target that was communicated last year during our Capital Markets Day. Net operating cash flow also has grown significantly totaling €712 million, €254 million more than in 2023, with the net cash figure at the end of the year standing at €3.1 billion. Last month, we completed the acquisition of Dornan, which will strengthen our expansion strategy there in turn in the European advanced technology market. Lastly, strong growth in contract awards up 31% driven by €6.2 billion in digital infrastructure awards has given us a new record figure for the backlog €31.9 billion. CIMIC incorporating the consolidation Thiess since the second quarter of the year, after acquiring a 10% which was additional of the -- these -- this as 10% additional stake in the shareholding ordinary net profit up 7.2% adjusted because of the non-recurring contribution of NTN 2023 during the year. We have also made a number of strategic investments in order to incorporate technical capabilities that will be giving us access to new opportunities in energy, critical metals, and digital infrastructure. Net debt €1.7 billion reflects these strategic investments and also the consolidation of Thiess' net debt around €1 billion. The order backlog totaled €24 billion up 2.8% adjusted because of exchange rate. The awards which were slightly lower in building were more than offset by more contracts awarded in data centers and health. Let me move on to the next slide Engineering & Construction this is Slide 12. Consolidated sales in the Engineering & Construction segment totaled €9.5 billion, up 6.8%, thanks to the good evolution of our production in data centers and high speed transport. The EBITDA margin improved by 5.4% while before tax profit increased by 17.4% to €192 million. That was underpinned by less amortization and better financial efficiencies. Sound cash generation allowed us to close the year 2024 with almost €1.8 billion in net cash. The backlog increased by 10.2%, thanks to the €29.3 billion, thanks to the high level of awards in Dragados particularly in sustainable mobility and transport. The integration of Flatiron-Dragados North America was completed last month and we're moving towards implementation of synergies, which we will -- we can tell you, will as we announce be around €30 million to €40 million annual, this is dollars annual figures. The next slide showing the evolution of Dragados. This is the Engineering & Construction sector. Sales grew by 4.9% to €5.9 billion driven by an uptick in defense project production EBITDA totaled €332 million that was a significant improvement in our margin up to 5.6%, thanks to the good business performance in North America. Before tax profit increased by 21.4%, thanks to the improved financial efficiency and lower amortizations. Net operating cash flow grew by €387 million in the year with excellent cash conversion. The backlog grew by 15.1% the result of a high level of contract awards, especially in Canada which grew by 110% compared to the year before. On Slide 14, we can see how HOCHTIEF Engineering & Construction increased its stake up to 10%, up to €3.6 billion. Sustainable mobility continues to be a key engine for growth in Flatiron with several important projects, and whilst the growth of HOCHTIEF for Europe is thanks to infrastructure, digital and energy projects. The pre-tax profit increased by the same proportion to sales, maintaining stable margins. The net cash flow position is at €1.175 billion by the end of the year. The portfolio of almost €11.6 billion grew by 3.9% adjusted by the exchange rate, thanks to awards for €4.4 billion. Now, if we continue with the Infrastructure segment on Slide 15, we can point out that Abertis has had very good operating performance with a growth in revenues and EBITDA of 9.8% and 10.3% respectively. The contribution of Abertis to the net attributable ordinary profit grew by 3.6% including with the impact of the fiscal regulation and concessions in France. Iridium increased its sales by 77.5%, thanks to the additional contribution of the A13 and Skyports. The contribution of Iridium to net profits is consistent with the stake of 44% in SH-288 up to October 2024 and it's worth mentioning the award to Iridium this year of the project SR 400 Express Lanes in Atlanta, Georgia. Through Iridium, HOCHTIEF PPP Solutions and Pacific Partnerships, we are an investment and development of Greenfield assets platform with a sound international presence, which is diversified and we have presence in USA, thanks to Iridium Europe with Iridium and HOCHTIEF PPP and a leading position in Australia, thanks to Pacific Partnerships. We are diversified in our backlog mainly thanks to a reasonable value of €1.2 billion in motorways, trains, and social infrastructure. We're investing in digital infrastructure in data centers, a large scale in edge data centers that are sustainable through HOCHTIEF and through HOCHTIEF where we are contributing capital of €28 million. Later on I'll refer again to our strategy for investments in data centers. And finally, we should underline our presence in sustainable mobility through our investments in Skyports and Glydways for a total of €149 million. Now, continuing with Slide 17, with the performance of Abertis. Abertis has shown a sound performance with a growth in revenues of 9.8% and EBITDA of 10.3%. Traffic has grown with the support of heavy vehicles and a good performance in Spain, Mexico and Brazil, the traffic of which has grown way over 3.5%. Throughout the year, there have been acquisitions such as the Autovía del Camino and 50% of Trados-45 in Spain. The extension to 12 years of Intervias in Brazil or the acquisition of Santiago-Los Vilos in Chile. With these transactions, the average life cycle of those concessions has grown, allowing for the replacement of cash flow. Again, the strategic section of the presentation will allow me to talk about the current situation of Abertis again within the context of its perpetual growth model. Abertis has improved its liquidity and financial soundness, reducing its net debt by €3.3 billion and issuing €1.8 billion in bonds since January 2024, including the emission of a hybrid bond for €750 million over 5.25 years. In Slide 18, we show the breakdown of the key figures by country for the backlog of Abertis, where we can see significant growth in traffic in significant markets such as Spain, Brazil, Mexico and Puerto Rico. Next, as happens every year, we dedicate a brief section to going over our strategic lines of business. Firstly, we've capitalized our leadership position globally in high growth segments with attractive margins such as digital infrastructure, energy, defense, mobility, the biopharma sector and health and critical metals at the same time as we're maintaining our position in the more traditional business line. Secondly, we are including capabilities that are specialized in engineering and systems both organically and inorganically to carryout complementary activities in the value chain. Thirdly, we are investing capital in traditional infrastructure projects and state-of-the-art infrastructure with digitalization and responding to the demand for energy and demographic changes and at the same time generating value for our shareholders in the short and long-term. There are great opportunities ahead of us, thanks to our capability in engineering, our global presence and our access to our customers. And fourthly, we continue to promote operating efficiency through strategic integration, streamlining of resources and simplification. And finally, we continue to reduce the risk profile of our portfolio, increasing the weighting of our collaborative contractual frameworks. And on a financial level, our target continues to be to continue having a financial soundness in the Group and generating value for our shareholders both in the short, medium and long-term. We can see on the next slide that our strategy to include specialized capabilities for engineering and systems in an organic and inorganic fashion is as follows. We have four fundamental pillars for this. On the one hand, technological, innovation and the integration of systems and platforms in the Group, secondly, know-how and the key competitive edge and the application of our know-how in global logistics to transform traditional processes, and finally, financial experience and experience in managing large scale projects. We have carried out several complementary acquisitions in key sectors. Turner has acquired the Irish engineering company Dornan, which is the third biggest electromechanical company in Europe and it will strengthen our strategy for expansion in the European market with a pipeline of more than 20 billion million in identified opportunities. Segment has also strengthened its position as a global service provider in mining and refining of essential minerals for the energy transition and with the incorporation of Prudentia Engineering and MinSol Engineering. And Thiess has increased its global portfolio for mining in complementary acquisitions in the sector of critical metals with PYBAR and Mintrex and later on, Asia has acquired Maverick an engineering consulting company for digital infrastructures, advanced technologies and high-rise buildings. Next in Slide 22, we can see how we want to channel investments in traditional infrastructure and state-of-the-art infrastructures, taking advantage of our new know-how and engineering capabilities. The ACS Group has achieved a sound position on a global level, focusing on data center, adopting a comprehensive approach and coordinating between companies. And it has adopted measures in 2024 to execute our investment strategy in data centers in the market. And this market is growing very fast all over the world, thanks to the expansion of cloud computing and the exponential growth of artificial intelligence in the United States is expected that the digital infrastructure market will grow from €102 billion in 2023 to €149 billion in 2029. And in Europe, it is expected it will reach $65 billion in 2029. And the Asia-Pacific region will be the area of most growth in the next few years with the strongest growth in highly populated countries. Currently, we have an investment portfolio of 2.1 gigawatts in projects already underway in 2025 in the U.S., Spain and Australia. In addition, we are evaluating more than 4 gigawatts in our key regions, mainly the USA. And in addition to this, HOCHTIEF is following a complementary strategy for edge data centers, deploying smaller scale facilities in urban areas to reduce latency, particularly in processing AI and cloud services within closed networks. Currently, we are building a sustainable data center jointly close to Essen in Germany to expand to 15 data centers on a smaller scale. And as we mentioned beforehand, you will get more details about our strategy and data centers during the Investor Day that we are planning closer to the end of the year. In the field of managed lanes in the United States, we are opting for a pipeline and different tender concessions, and we have four key elements. The success of the SR project, which strengthens our position as a key player, Flatiron-Dragados is our preferred contractor in the U.S. market and our capability to optimize toll solutions and revenues through concept of technical alternatives. And finally, our proven experience in managing key and big infrastructure projects. On the next slide, we can see the strategy of the Group in integration strategy and streamlining and simplification to improve our operating efficiency. The Group is carrying out projects of different sizes in the world to do with supply chains to optimize synergies, optimize the supply chain, centralized functions to strengthen the climate of exchange of knowledge between companies. And an example of this is Flatiron-Dragados, which will be completed this strategy in 2025. The leading company in engineer and civil construction in the USA, strengthening our position in the sector, and we are already implementing and adopting important synergies. I'd like to mention the perpetual growth model in Abertis, which is mentioned in our strategic framework and the Capital Market Day’s last year. And I'm going to explain what is being achieved. Abertis is basing its strategy on the optimization and extension of the life cycle of the current portfolio of assets through mutually beneficial agreements with the awarding administrations. And the inorganic growth is focused on brownfield assets in key countries. In addition, the sound financial discipline is underlying to achieve an investment-grade rating, offering attractive returns. On the next Slide 25, we can see the performance of some important metrics as part of our strategy that's being achieved. Since 2018, until 2024 Abertis has managed to increase its EBITDA by approximately €100 billion. At the same time, as it's been able to extend it to EBITDA that is expired over these years. And at the same time, the average duration of concessions has increased by two years and there has been a deleverage of 6.6x to 5.4x. Finally, we can see that the relationship between EBITDA backlog, the sum of forecast EBITDA for all these assets at the same -- at the end of its concession life cycle over the current net debt has been strengthened. And the growth model at the end of 2024 means that we find that there has been a -- the platform has grown and as replaced it's the EBITDA that has expired and has increased the average life cycle of concessions and has deleveraged significantly. So let's go with the sound operating results, financial results for 2024. We can see we've made great progress in our strategy towards a proposal for growth and profitability for our shareholders. The sales of the Group reached €41.6 billion, growing by 16.5%. We have had an excellent conversion of cash flow throughout the year, generating net operating cash flow of €2.1 billion, 2x the figure of 2023, with the net debt at the end of the year of €700 million, and we have a sound financial position to invest in future growth. Our portfolio has reached a record figure of €88.2 billion. And in addition, we have some forecast for future growth, thanks to a global leadership position in strategic sectors for growth. And this gives us important -- gives us access to important Greenfield opportunities such as the Managed Lanes project or tender process in U.S. and investment in digital infrastructures in all regions. So we have completed significant corporate transactions that supports our strategic plans such as the acquisition of Dornan on behalf of Turner to strengthen our capabilities in Europe, the integration of Flatiron-Dragados in USA, which will generate important synergies and other strategic opportunities of mergers and acquisitions in the field of natural resources and critical metals and the ordinary net profit of €684 million has increased by 14%, exceeding the range it has grown from 8% to 12%. So we have met our growth and financial objectives. And we are diversifying our portfolio towards high-growth segments and high margins and to expand our technical capabilities, invest in traditional infrastructures and look for operating efficiencies. And we trust in our capability to be able to continue growing and with our proven strategy, and we are in a position to continue growing that net ordinary profit. And thank you very much for all your attendance, and we'll go on now to the Q&A session. Thank you. I mean -- but I'm sorry, before we get started with the Q&A session, we do have announcement to make. We just published this morning, Abertis has agreed to acquire a 51.2% stake in the French Highway A-63, which is a key highway between Spain and North and it's 104 kilometers connecting up a border in Bayonne, Hendaye and Toulouse. It's very close to the Spanish border, the A-63, it's also a key highway for road haulage and it links up Bordeaux with more than 1 million inhabitants and some significant scientific entering centers. This strengthens the sound position there. There's a potential of growth for 26 years of the remaining life of the €170 million in revenue was the figure for A-63 in 2024, the concession finishes in 1950 -- in 2050 rather, thanks to this new acquisition. Abertis is strengthened in one of its key markets, contributing to its growth strategy and replacing the cash flows in the company, extending the concessionary life of the Group. This operation together with the recent acquisitions in Puerto Rico, Spain and Chile. So it is its capability to be able to maintain a balanced backlog with a good mixed of currencies, the dollar, euro and also in stable legal certainty countries. There is still a regulatory approval process to go through. But in total, the €400 million in capital that will be contributed to shore up the balance sheet of the company for this acquisition and others in the future. Thanks.
Q - Unidentified Analyst: Good morning. My name is Victor and I'd like to thank you for that presentation. I have a number of questions. The first one let me start off by asking about Abertis. You've just made that announcement. How much money you're talking about? How much investment there? The second question is about Turner. About data center strategy, how much equity invested in the ACS Group would be the figure. If you separate out a HOCHTIEF from ACS, I believe on, you gave the equity committed figure for HOCHTIEF. I think it was €400 million more or less. So what would the figure be now then linked to that data strategy. I have another question. What competitive advantages do you see that there will be in the Group, but when you're competing with your top competitors? What advantage do you have within the Group to ensure that you can get more growth than your peers and also with the data strategy on the basis of equity investment with your experience in the sector, I mean can you tell me about your IRR and the multiple that you're looking for, for the deals and these investments? Emilio, I have a question too about Turner. The €3 billion in cash that there is there. What -- how could you use that money for the Group's purposes? It's a big cash pool there. How could you use the cash more efficiently within the Group to improve the Group's or the company's ratios and lastly one, talking about the cash flow for the Group, you did say that the current cash flow growth has been very strong above the average figure. So can you tell us about guidance, your guidance then, especially about the dividend to be paid out in the -- you talked about at the Capital Markets Day and you said that it might be going up this year by how much? Thank you.
Javier Crespo: Thank you very much. Just before you take the microphone away from it. Could you just repeat that second question for us?
Unidentified Analyst: Yes. The first one was about Abertis. And the second one, I think in the HOCHTIEF's conference call last week, there was a slide about the equity committed at the level of HOCHTIEF and the equity invested for infrastructure, data centers, PPPs, et cetera, et cetera. So the question is, can you give us the same figure for the ACS Group to compare then what the investment is equity committed and invested by the ACS Group at the level of the subsidiary HOCHTIEF for your projections looking forward. Thank you.
Javier Crespo: Well, thank you. Yes. Let me start off with that last question, and then I'll talk to you about Abertis. €400 million was the figure for HOCHTIEF there are the two parameters that we have to add here. One, the investment commitment of about €1.1 billion in Georgia. And we think we'll be investing in data centers in land and in energy and fiber, about €700 million for the next year. Then you're asking about competitive advantages for data centers compared to our peers, our competitors that we see every day, we are trying to move closer to the capability of engineering and technology of people like Jacobs. You can see that in critical minerals because we're competing very strongly in a number of sectors, and we have made a number of strategic acquisitions to be able to compete at that level. We're still doing that in digital infrastructure and in some other sectors, semiconductors is one, and we hope to be able to compete in nuclear as well very soon. What we do have, and I think this is the right assessment is construction capabilities and we have that in the North American market. And that means that we have a footprint in 47 states in 2024, €26 billion was -- were our revenues there, 100% from North America, and we hope that we will be above €30 billion in the next year. And that is, I think, proof of our strength there in infrastructure, digital infrastructure for batteries for semiconductors, industrial infrastructure or civil engineering infrastructure. That's really important. That's North America for you, but that goes for all countries in Europe and Asia-Pacific and also in Australia. Turning to the multiples -- that is multiple without to or the multipliers for Iridium, they vary a lot. If you pull out the Managed Lanes project, it might be 1.1 to 2.5, I think, for the projects. But the Managed Lanes projects have performed much better than more than 10x more than what we invested. So the Managed Lanes strategy we have over there is so important, so we in the SH-288, we're investing €360 million equity and the Texas said, that it would be €4 billion, and that would be worth when it decided to take the infrastructure away. And so really, it was €2.7 billion, but those multipliers are no different from the Managed Lanes projects that we have in the rest of the U.S. So what is it, €1.2 billion or €1.3 billion were investing in Georgia. So we think we could get those same multipliers there in the next few years with the stake that we have. There's a big project in Virginia, North Carolina and Georgia, Tennessee as well. We're at the prequalification stage at the moment. And so it's important for us not just to compete in these projects but also to have a presence in construction and to be successful there. The next project -- or rather the next question, speaker correct itself. You're asking for guidance about the dividend -- the dividend. The Board of Directors at the end of March, we'll make the proposal. We can't say anything about that now, and it will be approved by shareholders at the AGM in May. So I can’t say anything about that. But we can't give you any more information at the moment. But let me finish off talking about Abertis. And let me think a lot about Abertis. I think it's a good thing to do here now, we have mentioned Abertis. I did say in the presentation what we have been doing in Abertis but the backlog to net debt ratio is really important. It is being strengthened. It was 3.4% in 2018, and it's now 5.5% in 2023 -- well, that was 2023 and 6.2% in 2024. What does that mean? It means and this is really important that with our backlog, we could pay 6.1x our debt compared to 3.4x our debt that we could pay off in 2018. Let me share another thought with you about Abertis. Abertis Vittas [ph] in 2023 that we announced in the Capital Markets Day for 2023, we are -- was about €4 billion. That was the forecast then. And with the acquisitions that we have made since that Capital Markets Day, including the contracts awarded in Spain, and the A-63 Highway and especially the extensions and renegotiation of contracts. So the way things stand today, less than one year after the Capital Market Days, we think it will be €4.75 billion. Of course, we -- if you look at the 2024 a bit, it would be €4.3 billion. And I'm looking ahead so without Seneb we're projecting €4.75 billion in EBITDA compared to the 4.3% that we already have now. So that's also very important because there are a lot of questions out there in the market, but what will happen after Seneb and there's a lot of speculation about what will happen. And the other figure that I think is very important. It was also on one of the slides, is that in 2018, if we taking into account the concessions that had expired our EBITDA would have been €2.6 billion in 2018. We had €900 million more, but I'm going to take those out because some of those concessions have expired. So if we do a like-for-like comparison here, for the €2.6 billion can be compared with the €4.3 billion in 2024. So you're talking about €1.7 billion more in EBITDA than 2018 even though the AP7 expired and et cetera, et cetera. So I hope that with these figures, I can give you the visibility on Abertis is because everyone is always saying what will happen -- what's going to happen after France. So what's happening with that debt? Well, certainly, here, in 2024, and we we're talking about this. We're still renegotiating a lot of our current contracts, and there are a couple of short-term acquisitions there. And we think if we have that increase €700 million in projected EBITDA in 2023 and less than a year what's happened in the Capital Markets Day. I just imagine what's going to happen next? I say that because a lot of questions always about better. And I think you have other questions about from Emilio.
Emilio Grande: Thank you. We think -- but as we have the accountability, responsibility for -- there for all of the businesses over their businesses. When we comes to optimization, from the outside, you may think that we could have more cash on realization, more optimization. But we feel that it's much more beneficial to have that solid position in each one of the different business units for many reasons fronting with customers when you sign contracts, for instance, better access to the local markets to get financing facilities for many reasons. We feel that, that is the best policy, and that is why the Group maintains that philosophy. Now that being said, of course, we do seek financial optimization at times, and there will be specific months at time when we will do that.
Unidentified Analyst: Good morning. I have several questions. Well, lots of question actually because the attendance of analysts and investors has been limited today, but there are many questions that we've received via the web. And to start with the general questions, there are some that have been repeated. Some have to do with our investment plan, everything that we've talked about, our Abertis and the data center plans. How do we see the financial capability of the Group to face up to these projects? Lease, for example, mentioned that the SR 400 is a huge investment that is forcing for the next few years. And will we have the capacity to be able to invest in those Managed Lanes in the next few years and the plan for data centers. What is our financial capacity to be able to face up to these investments?
Javier Crespo: Well, I go back to the Capital Markets Day and what was said to compare the same figures that we gave then at the time versus those now and how things have evolved. It is true that we forecast between €1.1 billion and €1.3 billion in net operating cash flow at the time, and it is true in 2024, we got €2.94 billion. And so for this year, we have improved by 94%. And we need to imagine that between 2024 and 2030, we get €1.5 billion, just to have a conservative figure in mind, let's believe that we will have a €1.5 billion level multiplied by that period would give us approximately €10.5 billion in cash flow generated. In the Capital Markets Day, we mentioned that we had divestment plan and amortization of about €3 billion. And as we're talking from 2024 to 2030, we maintain that figure. And this is true, the €3 billion have already -- we've already executed €1.5 billion and €500 million from the derivatives. So we would still need to execute about €2 billion. So if we think that with a shareholder remuneration similar or growing versus last year, we would have to give between now and 2030, approximately €5 billion. And all of this would leave us approximately with the generation of free -- of cash -- net cash flow of around €8.5 billion. What do we think we'll do with that €8.5 billion? Well, there are different areas here. The first one is that all of our strategic plan for infrastructures that includes Georgia, the Managed Lanes, additional ones that is and includes the data centers and other projects, it's about €4.5 billion because it's quite a big project, and we have approximately €2 billion for strategic investments, and that includes, for example, 2,000 Dornan that has been executed in 2025 or some other acquisitions, others that we have in mind. And so therefore, if we do our calculations, we have about €2 billion surplus, and this will probably go to Abertis and other acquisitions. So that's an update on what we gave on the Capital Markets Day.
Unidentified Analyst: Another question that's coming up in a lot of the questions is the data center market. This whole issue about more digitalization, more strategies, there's a lot of talk about future demand out there in the markets and about future investment and hyperscale. So we're asked about demand short-term in 2025 and also mid-term demand. And what are the bottlenecks is another question that we're finding in particular, in the construction phase financing is obviously clear, but there is a lot of noise out there about what the constraints that we may come up against when developing these products.
Javier Crespo: Well, in general, then growth in digital infrastructure. And I'm going back to the figures that I gave in the presentation is something that was exponential, and they're actually lower than the announcements that we're hearing about for hyperscale for 2026, 2027 and the plans that are being announced in the rest of Europe, apart from these target €500 million investment and the AI investment, €2 billion out there for Europe. So to talk about figures in digital infrastructure, well, it's just the figures of stratospheric, aren't they, in their scope and size. So where do we see opportunities for us definitely in construction. At the moment, we have a €7.5 billion backlog, and that €7.5 billion order backlog does not include the latest contract awards. The most recent ones because initially, we go into a design phase, and that lasts for a certain length of time before we actually sit down a sign the contract which is why we don't include it initially in the backlog, so I would say we're way above the €10 billion figure and I'd be very conservative giving in that figure. So where do we see those opportunities quite obviously, everything to do with developing the land and everything to do with developing energy and also the permitting. And these are the opportunities that we have identified and that we're working on. Where do we see the barriers to entry, a very clear initial one is that in just two years, data centers used to be about 50 megs to be a big one? And then we're talking about 2 gigawatts for a big data center. That growth it's just -- it's been done little -- if you can't do it little by little. And I'm talking about three years. It's very hard to jump there from 500 to 600, then suddenly to go to 1 or 2 gigawatts, then the project in Louisiana is almost the size of Manhattan, the Orlando Manhattan. Just to give you an idea of what to give means for the data center, and you've got your energy plant as well. So it's very difficult to have the engineering capacity, the process capacity, the system's capacity to be able to take on a project like that. That's the first point. The second point -- and this isn't just about construction, it's more about development. We see that it's very difficult for us to be able to develop land, change the land use, get the permitting complete and get the environmental impact assessment, so we do this organically in-house, and we do this in all countries don't we see. But at the same time, whereas we're working on land that's adjacent for other clients. So for any platform, you're talking about millions and millions of investment and also globally, you have to have the capability to do it globally. And to be able to pay it and that's a lot of money we're talking about. And you'd have to do it without having any lease agreement completed. So for -- so that is a barrier to entry because usually you invest when you're sure that, that, that you have a way out. So this would be a barrier, another of those barriers to entry. We also think it's a barrier because whether you go to colocation or whether you go to a hyperscale lease, you don't usually sit down around the table until 6 months or 12 months before because you want to be absolutely sure that you have -- you can move into the execution phase 12 months ahead. So there's a lot of money that has to be invested in engineering and construction before that. And either you know what you're going to get asked to do because you work with the clients or you don't get any visibility on the budget until 12 months before. And that would mean that you've already got the land that you've got the design turn, you've worked out the engineering side. And you've also started to place the subcontracting work before you get the contracted. And so either you're doing this on a day-to-day basis, you've got the experience, and it's very hard to do. So to conclude, there's a lot of investment there. But these are not necessarily obvious projects or obvious investments out there. So in our opinion, we still think that this is going to be a market that will continue to expand. Let me also take advantage of this question to say that this is one of the big growth markets, but we are also seeing a tremendous growth in defense. Our order backlog is increasing in at a rate of double-digit figures. Energy to general energy, critical minerals is another one. And between natural resources and mineral resources, critical minerals then we're talking about a backlog of more than €10 billion, and we're still seeing big growth there. But commodities of course, go up and go down. Don't they? There's a lot of volatility about the type of critical mineral that is leading this growth. But as we are so diversified, write-down our whole chain, we're seeing that overall, the market for us is growing significantly. We also see the Managed Lanes in North America. The opportunities in Abertis, and as I said before, and I do think that overall, in general, this is a good time for growth in the market.
Unidentified Analyst: There's another recurring question that has cropped up. And it has to do with the cash flow that we’ve achieved this year. There is some praise. It has been sound, I must say. And given the HOCHTIEF -- well, what are the main components by which this cash flow of €2.1 billion almost it reached that when in the Capital Markets Day, we talked about lower figures. And in particular, how much of base yes, without including HOCHTIEF has performed better. What are the reasons for this? And above all, how do we see the future? How do we see the next few years, 2025 to 2026 in terms of the performance of cash flow?
Javier Crespo: Well, it's best to talk about this company by company to talk about the performance of cash flow versus last year. But basically all areas in the Group have had good performance. And Turner stands out, of course, because last year Turner achieved a net operating cash flow of €712 million in an excellent year of €458 million. And this year, it's gone to €712 million, as I say. So there's been a great improvement simply thanks to Turner. CIMIC has increased €161 million and in construction €331 million and Dragados stands out this year, it achieved €316 million versus the minus €72 million from last year. So this has been significant growth and then the rest of the businesses in 2024. And we weren't actually expecting these figures. In fact, during the Capital Markets Day, our average was 1.1 and 1.3 per year. And when we talked about forecasts for the use of funds, it was an average of €1.5 billion, but we're not seeing a slowdown in the market. Quite the contrary, we're seeing that there's growth that can be achieved and that the contracts are sound for us because we're reducing risk. So we are finding -- we're not finding we're up against some surprises from the past, except for some unwinding of projects that are ending. And in CIMIC, for example, but other than that, we're not facing up two surprises like we did in the past, where projects did stock up a lot of cash flow. Currently, that isn't on the horizon. So I prefer to be cautious. I prefer to give updated forecasts from the Capital Markets Day. But certainly, it's a good time for growth in all areas.
Unidentified Analyst: Another question is about our stake in HOCHTIEF, where we have about 80% that we've -- you saw a slight change last year. What is our vision with regard to our stake? Are we expecting to increase it even more? Do we have any additional corporate ideas there? What are we going to do?
Javier Crespo: I always answer this question the same way. In reality HOCHTIEF has an excellent performance, huge growth through Turner, through CIMIC or through Flatiron, which with -- after that merger with Dragados. And Europe could also record growth, especially because we are starting off from a low base there, and we believe in Europe, and we want to make investments in Europe. But so we are 100% convinced about HOCHTIEF. We have that 100% trust in HOCHTIEF. Then as for acquisitions, we will just pick up on any opportunities that we see out there depending on what the share price is 150 at the moment. And we do think that there might be a lot of upside there. And when we see opportunities, we will analyze them. But at the moment, we don't have any predefined acquisition plan.
Unidentified Analyst: And another question, which tends to come up, Classe, are we going to continue with our plan to sell it off or not? What is the idea we have about Classe?
Javier Crespo: Yes, Classe it's in our project portfolio for companies that, that could be monetized. Classe is a great company and it's a company that might also still grow significantly because of the market opportunities out there, but what we do not want is to sell it off below the price that we have in mind. Even though there is a lot of interest, there has been a lot of interest in the company over the last few years until we get the value, the figure that we have in mind, we will not let Classe go.
Unidentified Analyst: There are some technical questions about the hybrid bonuses from Abertis whether we think that with the new regulation, it affect the financing of Abertis. And we're asked also about the financing of Abertis and how we're going to support Abertis in its growth and whether this acquisition requires a capital increase in Abertis that we would go to with this acquisition of the A-63.
Javier Crespo: I think I'll give the first one to Emilio. Anyhow, from the point of view of equity, I mentioned this before, and we expect for this and other acquisitions that we are potentially involved in a capital increase of €400 million -- €200 million for us, that is. And I just want to mention that one of the good positive points that we've seen in Abertis is that in order to generate €1.7 billion EBITDA, the additional amount from 2018 to 2024. We've invested 100% €650 million. So when we talked about the capital increase, obviously, excluding that amount. And so that shows the good equity EBITDA ratio that we are achieving. And that is thanks to the fact that a large amount of growth in EBITDA is because of increase in tariffs, the traffic contracts and through acquisitions as well. And therefore, this is why we've such a good ratio there. Currently, as I said before, we are actually looking into different acquisitions, but we do see there is an opportunity for renegotiation of the timelines and concessions in general. So therefore, to actually think about the needs that they'll be in Abertis for the next few years. We have to take into account that a large amount of EBITDA growth will be through extension of concessions and awards. And it is true that we do think that the 400 will push the forward, the A-63 and other projects underway. And with regards to Abertis hybrid, do we expect an impact because of regulatory changes in the support to the capital structure of Abertis at all? Or will there be any other technical changes in the hybrids and part of the refinancing in Abertis has been significant. In fact, there has been a refinancing, as you well know, €750 million, so we don't actually expect any changes there.
Unidentified Analyst: And one last question, which is about our estimates or guidance for this year. We have questions from a number of people that we've gone from 8.12 to 8.17 for the range. What are the variables that are making us feel more optimistic about what's going to happen this year.
Javier Crespo: Well, in our operational business, we are naturally optimistic. Well, there's that gap there because we have to give that on its guidance, isn't it? It's just guidance and there's flexibility in there, but we are definitely optimistic about our operational figures, and we see growth right across the Board in all of the areas over the next year. We have given practically the same guidance that we've given in HOCHTIEF and the different elements will be driven. So it's 30% of Abertis, Classe and Iridium that's the only elements that are not included in HOCHTIEF. So we're very optimistic about all our business areas with those components, too.
Javier Crespo: Well, that's it. There are no further questions. Thank you very much to everyone.